Operator: Good day. My name is Cody, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Rogers Corporation First Quarter 2021 Earnings Call. At the end of today’s prepared remarks, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the call over to your host, Mr. Steve Haymore, Director of Investor Relations. Sir, you may now begin.
Steve Haymore: Thank you, Cody. Good afternoon, everyone. And welcome to the Rogers Corporation first quarter 2021 earnings conference call. The slides for today’s call can be found on the Investors section of our website, along with the news release that was issued today. Please turn to slide two. Before we would -- before we begin, I would like to note that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and should be considered as subject to the many uncertainties that exist in Rogers’ operations and environment. These uncertainties include economic conditions, market demands and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statement. Also, the discussions during this conference call may include certain financial measures that were not prepared in accordance with Generally Accepted Accounting Principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the slide deck for today’s call, which is posted on the Investors section of our website. Turning to slide three, with me today is Bruce Hoechner, President and CEO; Mike Ludwig, Senior Vice President and CFO; and Bob Daigle, Senior Vice President and CTO. Also joining us on the call is Ram Mayampurath, who as announced earlier today, has been appointed Rogers’ CFO effective May 1st. I will now turn the call over to Bruce.
Bruce Hoechner: Thanks, Steve. Good afternoon, everyone. Thank you for joining us today. Please turn to slide four. Rogers delivered another strong financial performance in Q1, driven by growth in Advanced Mobility markets, a strengthening market recovery and continued operational excellence. First quarter net sales increased 9% to $229 million and exceeded the top end of our guidance. Gross margin improved to 39% as a result of our strong operational performance. EPS also exceeded the high end of our guidance and we reported earnings of $1.66 per share on a GAAP basis and record adjusted earnings of $1.92 per share. The increase in Q1 sales was broad based and nearly all of our markets increased at double-digit rate. The impressive growth was enabled by both our strategic focus on fast growing markets and the ongoing economic recovery. We continue to realize the benefits of our multiyear investments in innovative technologies to capitalize on the accelerating opportunities in Advanced Mobility markets. EV/HEV and ADAS sales increased at double-digit rates sequentially and grew more than 30% compared to Q1 of 2020. Sales of compression pads and related solutions for EV batteries were especially strong and more than doubled year-over-year. Sales of our power semiconductor substrate solutions were also higher. We anticipate further topline growth as these markets continue to accelerate. As announced last quarter, we are investing aggressively in additional capacity for our advanced battery compression pad and ceramic substrate technologies to take advantage of this opportunity. We are also investing in additional resources and capabilities to support this growth. We are at a growth inflection point and these investments will position Rogers to capitalize on the significant momentum in these markets and add to our strong market positions in the near-term and longer term. Sales in the defense market increased at an impressive rate in Q1 similar to the EV/HEV and ADAS markets. Our focused strategy and new product introductions continue to drive design wins and growth. We saw a resurgence in industrial demand in Q1, as sales grew sharply versus the prior quarter and returned to pre-pandemic levels. Our sales in industrial market -- in the industrial market are closely tied to levels of capital investment which continues to improve. Demand was strongest for applications used in semiconductor equipment. Other markets such as clean energy and wireless infrastructure also showed strong improvements in Q1, with sales growing at double-digit rates. In the portable electronics market, sales were seasonally lower in the first quarter and consistent with our expectations. The impact to sales from the disruption to our UTIS facility was minimal as a result of selling our undamaged finished goods inventory. We continue to work closely with our customers during this time and we remain on track to resume production in the fourth quarter of this year. Q1 sales were largely unaffected by global supply chain disruptions, but we began seeing more impacts as we exited the quarter. In the second quarter, the lack of availability of certain raw materials, primarily due to weather interruptions along the U.S. Gulf Coast, will somewhat temper our sales growth and gross margin. However, we expect this headwind to moderate by the end of Q2. Higher commodity costs reduced Q1 gross margin by our copper hedging strategy, largely offset the impact to earnings per share. In Q2, we are continuing to offset the impact of higher commodity costs through hedging activities and commercial actions. In summary, we had an excellent quarter, delivering strong sales growth, improved profitability and robust cash generation. Continuing on to slide five, I’ll discuss the latest market outlook. As mentioned, we are seeing broad strength across our market portfolio. This is driven by two major factors. First, we are benefiting from our strategic positioning in markets with long secular tailwinds, such as Advanced Mobility. We are also seeing exceptional growth in this area, primarily driven by the accelerating adoption of EVs and HEVs. Second, the global economic recovery continues to gain momentum. Our expectation is that near-term economic activity will continue to improve, aided by stimulus measures and vaccine rollouts. This should continue to support strong demand and we are maximizing output at existing manufacturing facilities in response. Turning to the long-term outlook for Advanced Mobility, estimates continue to point to an extremely strong growth outlook for the EV/HEV market. Recent analysis from industry experts points to an acceleration in EV/HEV adoption. In their updated report, BCG now expects that by 2026, EVs and HEVs will account for more than half of global light vehicle sales, four years earlier than previously expected. Underscoring this trend is the ongoing investments and commitments by global automakers. Some examples in recent weeks include commitments from Volvo and Honda to phase out internal combustion engines and announcements of sizable investments in battery capacity from VW, GM and others. It’s important to note the full electric vehicles are expected to be the fastest growing segment of this market with a CAGR of over 40%. This is significant for Rogers, because our content opportunity increases with higher degrees of electrification. For example, our ceramic substrate content opportunity in a full EV ranges from around $25 to $40 compared to a content opportunity of approximately $5 in a 48-volt mild hybrid. The same concept applies to our battery compression pad solutions used in Plug-In HEVs and EVs. Our content can be greater than $30 per vehicle and rises meaningfully as the battery size increases. Other solutions which are used across the entire EV/HEV market include vibration dampening pads and battery pack sealing solutions. Also, we have secured design wins with several promising entrants to the EV market with our power interconnect solutions. Turning to ADAS, we continue to see a very strong mid-teens growth potential over the next five years, driven by increasing penetration rates and higher levels of vehicle autonomy. Near-term auto production faces some challenges from the limited supply of certain semiconductors, but the long-term outlook remains robust. We are encouraged by our progress in this market and we continue to expand our customer base with new design wins. In addition to the opportunities in Advanced Mobility we also see attractive growth potential in other markets, such as renewable energy and defense. The renewable energy market is expected to grow at a 10% CAGR over the next five years, which we anticipate will continue to drive robust demand for our power semiconductor substrates. Please turn to slide six. Rogers has a very rich heritage of innovation and a proven track record of developing solutions that drive growth in markets with strong secular tailwinds. We achieve these results by combining our deep expertise in material science with collaborative engineer-to-engineer customer relationships. Our global innovation and R&D centers are key to maintaining a strong development pipeline. They are staffed with world-class personnel who identify, develop and acquire the technology needed to enable the next generation of products. Through partnerships with universities and other research institutions, we can further expand our product development pipeline in an efficient and cost effective manner. The progress we’ve made in our EV/HEV business is a prime example of how innovation drives growth at Rogers. For example, our advanced battery pad and battery pack sealing solutions, and silicon nitride substrates were all developed through our innovation and R&D process in recent years. These products form the core of our solutions for the EV/HEV market, which has now increased to more than 11% of total sales. Our focus on innovation continues with a number of advanced solutions that are currently under development. Some of these -- some of the products in our development pipeline include next-generation silicon nitride substrates with improved thermal performance, advanced battery compression pad solutions and high performance antennas for next-generation auto radar. Our ability to drive organic growth through innovation is a source of competitive advantage for Rogers and will continue to be a core element of our strategy. Turning to slide seven, I’ll recap our key messages from today’s call. First, we delivered strong Q1 results driven by our strategic focus on advanced mobility markets and by continuing our market recovery. We also continue to drive operational improvements and higher sustainable gross margins. The growth opportunities in advanced mobility markets, and especially the EV/HEV space, continue to accelerate, driven by powerful long-term secular tailwinds. This opportunity is extremely compelling and we are investing aggressively to capitalize on this growth. Lastly, as announced in a press release earlier today, Ram Mayampurath has been appointed to serve as the company’s new CFO. As a longtime Rogers’ employee and a seasoned senior finance leader, it gives me great confidence to have Ram step into the CFO role. Ram has over 30 years of corporate finance experience and has held senior financial leadership positions at Rogers, where he has had responsibility for financial operations, financial planning and analysis, business transformation and treasury. I would again like to thank Mike for his many impactful contributions and for being an indispensable business partner to me. I have appreciated Mike’s wise and insightful counsel which has helped Rogers navigate through some difficult situations and has helped make Rogers a stronger and more resilient company. Mike will remain with the company during a transition period to help facilitate a seamless transition with Ram. Please join me in wishing Mike a long healthy happy retirement. Now I’ll turn it over to Mike to discuss our Q1 results in more detail.
Mike Ludwig: Thank you for the kind words and well wishes, Bruce. Your thoughts are truly appreciated. I’ve enjoyed my time at Rogers immensely and I’m appreciative of the opportunity to have made a positive impact on the results and culture of Rogers. It’s been my fortune to work with a tremendous senior management team, a supportive Board and the hardworking, dedicated Rogers global community. Let’s jump back to the results and the slides ahead. I’ll review our first quarter 2021 results. Turning to slide nine, as Bruce mentioned, Rogers delivered strong financial results in the first quarter. Revenues increased sequentially in both our EMS and AES business segments. As communicated in our Q4 earnings call, the AES business segment is comprised of the former ACS and PES business segments. We delivered gross margin that was 70 basis points higher than Q4 through increased volumes and operating efficiency, despite a less favorable product mix and significantly higher commodity and freight costs. In Q1, we delivered strong earnings through increased revenues, improved gross margins and increased other income. In our GAAP results we recognized $1.5 million in restructuring cost related to the footprint optimization activities communicated in our third quarter 2020 call and $1.3 million for the loss resulting from the fire at our UTIS facility, net of expected insurance proceeds. Our effective tax rate for Q1 was 21.2%. Turning to slide 10, our Q1 revenues of $229.3 million increased by $18.6 million, compared to the fourth quarter, reflecting broad strength across our product markets. AES revenues increased 10% to $131.9 million, while EMS revenues grew 6% to $91.8 million. Currency exchange rates favorably impacted first quarter revenues by approximately 1.5% compared to Q4. AES revenues grew sequentially due to strong demand in all three product lines, RF solutions, power semiconductor substrates and power interconnects. Within RF solutions, the aerospace and defense business accounted for 19% of the business segment revenues and grew 15% sequentially, the ADAS business accounted for 18% of the revenues and grew 12% and wireless infrastructure accounted for 17% of the revenues and grew 26%. Defense applications continue to be a solid growth area for Rogers, as customer programs continue to ramp. Record ADAS revenues continue to benefit from the rebound in automotive manufacturing and to-date have not been adversely impacted by the semiconductor chip shortage. Wireless infrastructure revenues experienced a nice sequential increase due to 5G installations both inside and outside of China. Clean energy which is comprised of the renewable energy revenues in both the power semiconductor and the power interconnect business, as well as the variable frequency drive business in the power semiconductor business, accounted for 16% of the business and grew 15% sequentially. The sequential increase in our variable frequency drive business was the first in several quarters, and is reflective of the general economic recovery. We believe the renewable energy demand will be uneven in the short-term as this business is comprised of project opportunities that will have meaningful long-term momentum. EV/HEV application revenues accounted for 12% of the segment revenues and increased 2% sequentially, as order timing tempered the Q1 increase and ceramic substrate revenues. EMS revenues were sequentially primarily due to significant increases in nearly all applications, highlighted by a 41% increase in EV/HEV applications, which accounted for 11% of the segment revenues, and a 23% increase in general industrial applications, which accounted for 44% of the segment revenues. The EV/HEV applications continue to gain momentum consistent with the accelerated demands in the EV/HEV market and the increase in general industrial revenues continues the recovery trend that commenced in the fourth quarter and mirrors the general economic recovery. As expected, revenues for the portable electronics, which accounted for 22% of the segment revenues experienced a 31% sequential seasonal decline off a very strong second half of 2020. Revenues from our UTIS factory were down just slightly compared to Q4, despite the fire that occurred in mid-February. Turning to slide 11, our gross margin for the first quarter was $89.5 million or 39% of revenues, 70 basis points higher than Q4. The increase in gross margin was due primarily to higher volume and improved manufacturing execution, more than offsetting the unfavorable product mix and increased raw material and freight costs. While both the AES and EMS businesses had to overcome the aforementioned headwinds, the AES business was able to produce increased gross margin in all three product lines. The EMS gross margin declined sequentially even though manufacturing execution improved. Although, our gross margin percentage increased by 70 basis points sequentially, the significant increase in copper costs meaningfully dampened our gross margin percentage in the quarter. To mitigate the higher cost of copper on our profitability, we enter into copper hedging contracts. The gains and losses on these contracts are recorded in other income expense below our operating profit results. In addition to hedging our copper purchases, we have taken commercial actions to mitigate the increased cost of commodity and other raw materials. Also, on slide 11 we detail the changes to adjusted net income for Q1 of $36 million, compared to adjusted net income for Q4 of $29.7 million. The adjusted operating income for Q1 of $43.5 million and 19% of revenues was 50 basis points higher than Q4. Adjusted operating expenses for Q1 of $46 million or 20.1% of revenues were 20 basis points higher than Q4 expenses. The higher adjusted operating expenses were due to higher performance based compensation costs, as well as higher benefit costs. Other income expense was $1.2 million favorable compared to Q4. Included in other income expense in Q1 are the realized gains on our copper hedging contracts, which offset the impact of higher copper costs included in the gross margin in the first quarter. As discussed earlier, Rogers’ effective tax rate for the first quarter was 25.2%, higher than our forecasted rate of 22% to 23%. We now expect our effective tax rate for 2021 will be 23% to 24% due to the geographic mix of pretax income. Turning to slide 12, the first -- in the first quarter the company generated strong free cash flow of $33 million and ended the quarter with a cash position of $199.1 million. In the quarter, we generated $36.5 million from operating activities, net of an increase of $10.8 million in working capital and repaid $21 million on our credit facility. We ended the first quarter with an outstanding balance on our credit facility of $4 million and a net cash position of $195.1 million. In Q1, the company spent $3.6 million on capital expenditures. Despite the low level of expenditures in the first quarter, we continue to guide capital expenditures of $70 million to $80 million in 2021, with over 50% of the expenditures to capture the accelerating advanced mobility market opportunities in both AES and EMS business segments. The guided expenditures exclude the capital necessary to restore the UTIS operation, a significant portion, which we expect to be reimbursed by insurance proceeds. I will now turn the call over to Ram to discuss the Q2 outlook. I’ve had the pleasure of working closely with Ram during my time at Rogers. He is an excellent choice to continue driving the company’s growth and profitability forward. Again, it has been my privilege to serve as Rogers’ CFO and I would like to thank Bruce and the rest of the Board of Directors for the opportunity and the investment community for their support during my tenure at Rogers.
Ram Mayampurath: Thank you, Mike. It is a privilege to be named as CFO at Rogers and I am extremely excited about the opportunity to serve in this capacity at such a pivotal time for the company. I would like to thank Mike for his leadership and have appreciated the opportunity we have had to work closely together. Lastly, I look forward to becoming better acquainted with the members of our investment community. Turning now to the second quarter guidance on slide 13. As Bruce discussed earlier, we see continued strength in many of our markets particularly in advanced mobility, general industrial, defense and wireless infrastructure. Based on this strong outlook, we are guiding our second-quarter revenues to be in the range of $230 million to $240 million. Effect of our UTIS factory being offline and the lack of availability of certain raw materials will impact our second quarter growth. Following several quarters of significant gross margin improvements, we expect Q2 to be flat sequentially before improving further in the second half of 2021. To prepare for our strong second half, we will be stepping up our resources across the business in the second quarter. Also in the quarter, we will continue to see challenges from mix, raw material cost increases and supply constraints related to the Gulf Coast interruptions mentioned earlier. We have taken commercial actions to mitigate the increase in raw material costs. These actions will have a positive impact on our gross margins in the second quarter with full impacts benefiting the second half of 2021. We expect to overcome the supply constraints by the end of the second quarter and see favorable impact from higher volume and better mix in the second half. We guide our gross margins to be in the range of 38.5% to 39.5% consistent with our first quarter. The company will recognize higher operating expenses in the second quarter from timing of certain expenses including performance based compensation. Costs incurred to support anticipated growth in the second half and to restore UTIS operations will also increase operating expenses in the quarter. We are guiding GAAP Q2 earnings in the range of $1.58 to $1.73 per fully diluted share and we guide fully diluted adjusted earnings in the range of $1.80 to $1.95 per share for the second quarter. I will now turn the call back to the Operator for questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Craig Ellis with B. Riley Securities. Please go ahead.
Craig Ellis: Yeah. Thanks for taking the question. Congratulations on the first quarter execution. Welcome aboard, Ram or welcome to the role. You’ve been onboard for a long time and Mike, thanks again for all your help. So, I’ll start with a clarification question Ram, on your comments for the second quarter guide. Can you just help us understand the magnitude of the supply chain issues that are at play both in revenues and gross margin, can you quantify what those are on those two line items?
Ram Mayampurath: So, the supply chain constraints are about a $1 million impact, if you may. Both the raw material price -- net of price increases and the supply constraints contributed to about 75% of our gross margin comparison to Q1, so about $1 million mostly from shortages in raw materials.
Craig Ellis: Okay. So that’s…
Ram Mayampurath: Okay.
Craig Ellis: … pretty small, but -- yeah. Got it. Okay. And then the second question and I’ll keep it in your court and then I’m going to flip over to Bruce for a couple. You had talked about enjoying a benefit in the second half from higher volume and favorable mix on gross margin. So the question on the volume point is, where do you have better demand visibility in the second half? And to what extent is it really the -- potentially the fourth quarter return of the UTIS business and better portable electronics participation that’s driving that higher volume or is it things that you’re seeing in the other parts of the business, whether it be Advanced Mobility with its pieces, et cetera?
Ram Mayampurath: Yeah. It’s a combination of both the reasons you mentioned, Craig. Second half tends to be, as you know, particularly Q3, stronger for our portable electronics business and we are generally seeing an overall lift in many of our markets, general industrial, EV continue through and even exceed in the second half. That’s why we’re making some of our investments in Q2 to prepare for that.
Craig Ellis: Got it. And then, Bruce, I’ll flip it to you for more of an intermediate to longer term question. It certainly seems like you’ve engineered the portfolio and the team’s got the business very well aligned for an array of strong growth drivers and the company is committing $70 million to $80 million in capital spending to provide the capacity for growth. The question is, to what extent does that capacity start to come on this year and to what extent is that really a 2022 benefit and is it particularly beneficial to any of the segments or the sub-segments or will it be more broadly applicable to the portfolio?
Bruce Hoechner: So it kind of channels in over the course towards the end of this year and then as we move into 2022. So we see certainly on the ceramic side some increases in capacity coming onstream. Of course, the recovery of UTIS also brings back some more capacity back onstream and the investments that we’ve already announced on the PORON business will come into effect in 2022. So we’ve -- a lot of it -- some of it comes in the end -- towards the end of this year and then certainly as we move into 2022.
Craig Ellis: Got it. And can you quantify what magnitude of capacity that would give you beyond where you are today? If the business has capacity that’s some degree above current revenue levels, how much could that $70 million to $80 million add beyond where you are currently?
Bruce Hoechner: It’s -- that’s an interesting question. The way that we look at it, this capacity as we look out over the next couple of years gets us in very good shape with the growth trajectories that we see. So, the 30%, 40% growth in EV/HEV in both sides of the house, in both the ceramic side, as well as on the PORON -- on the Elastomeric side as well. So we think we’re keeping in pace with the growth rates. I think we’ve also indicated, as we move into 2022 and beyond. We will carefully monitor the needs that we have. These are high growth markets and we’re very -- been very analytical in looking at and understanding when the next tranche of investment needs to happen to continue with the trajectory of the market growth. So as we go through this year and into next year, I would say, that CapEx is going to be probably similar in 2022, given the growth outlooks that we have. So we’re well-tuned in here to keeping pace with these high growths.
Craig Ellis: That’s very helpful. Thanks so much, Bruce.
Bruce Hoechner: Sure. Thanks, Craig.
Operator: Thank you.
Bruce Hoechner: Good to talk to you.
Operator: Thanks so much. [Operator Instructions] We’ll hear next from Daniel Moore with CJS Securities.
Daniel Moore: Good afternoon. Thanks for taking the questions and I’ll echo, Mike, thank you for all your help, and Ram, very much look forward to meeting and working with you.
Mike Ludwig: Thanks, Dan.
Daniel Moore: Just wanted to clarify -- thank you. The $1 million impact that is Q2 -- that’s the impact that we expect for Q2 or that’s what we saw in Q1 from the supply chain challenges?
Ram Mayampurath: That’s the impact for Q2.
Daniel Moore: Okay. Okay. So it is pretty modest. That’s helpful. And then maybe just talk about the broad recovery in industrial. Is it gaining momentum from your perspective kind of sequentially over the first four months of the year and are there particular end markets or geographies that you’re seeing recover faster?
Bruce Hoechner: So, on the industrial side, so we saw a broad-based recovery quarter-on-quarter in our EMS business. So there’s -- it’s just broad base there. But we’re also -- we also saw it on the ceramic side of the house with motor controls, but also the laser systems and so forth, power modules for laser, that continue to rebound. And again, as we mentioned in the prepared notes, the capital investment in factories is driving the resurgence certainly in motor control systems and in the manufacturing lasers and so on, also as we mentioned in chip manufacturing equipment. So we see this -- this was the first real strong rebound that we’ve seen in the industrial side quarter-on-quarter and we see this continuing as we move into through the rest of the year.
Daniel Moore: Excellent. And then we talk about it a little less these days, but wireless, maybe just talk about the outlook there? And more generally, are there any areas of your business where we should be thinking about H2 volumes lower versus H1 that would offset any of the strength that you’re seeing across really most facets of your business?
Bruce Hoechner: Yeah. I’ll take the second part of your question first. I think we see sort of broad-based impact of the economic recovery across many, many of the markets that we’ve talked about. And then laying on top of that, we have the EV/HEV dynamic that’s propelling growth in those high 30% to 40% kind of numbers. In terms of the wireless side, there’s been sort of, I’d say, a flatness in China, in the rollout there, it slowed a bit and globally maybe slightly uptick outside of China. But that’s not too meaningful, because the bulk, as we’ve always talked about really is inside of China. But it was a good quarter-on-quarter growth for wireless infrastructure. But again, as we’ve mentioned, this is a relatively flat market for us, given the puts and takes between 4G and 5G demand. But overall, we see this as a nice continued part of the business. But we don’t see this as a real growth driver.
Daniel Moore: Perfect. Very helpful. I’ll jump back with any follow-ups. Thank you.
Bruce Hoechner: Thanks, Dan.
Operator: Thank you. [Operator Instructions] It appears we have no additional questions in the queue at this time. I’d like to turn the conference back over to Mr. Bruce Hoechner for any closing or additional remarks.
Bruce Hoechner: I want to thank everyone for listening and attending today and it’s been a pleasure, as I said, working with, Mike, and I look forward to working more with Ram as we move ahead and take this country -- company forward. So thank you. Have a good evening everyone.
Operator: Thank you. That does conclude today’s conference. We do thank you all for your participation. You may now disconnect.